Operator: Greetings and welcome to the Magal Security Systems Fourth Quarter and Year End 2020 Earnings Conference Call.  As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brett Maas of Hayden IR. Thank you, sir. You may begin.
Brett Maas: Thank you, operator. I would like to welcome all of you to the conference call and thank Magal’s management for hosting this call. With us on the call today is Dror Sharon, CEO of Magal and Kobi Vinokur, CFO. Dror will summarize key financial and business highlights, followed by Kobi who will review Magal’s financial performance of the fourth quarter and full year. We will then open the call to questions and answers. Before we start, I would like to point out that this conference call may contain projections or other forward-looking statements regarding future events or future performance of the company. These statements are only predictions and Magal cannot guarantee that they will in fact occur. Magal does not assume any obligation to update that information. Actual results or events may differ materially from those projected, including as a result of changing market trends, reduced demand and the competitive nature of the security systems industry. The unanticipated and unknown effect of the coronavirus, including on our operations and our clients as well as other risks identified in the documents filed with the company with the Securities Exchange Commission. In addition, during the course of this conference call, we will describe certain non-GAAP financial measures, which should be considered in addition to, in lieu of comparable GAAP financial measures. Please note that in our press release, we have reconciled our non-GAAP financial measures to the most directly comparable GAAP measures in accordance with Reg G requirements. You can also refer to our website at magalsecurity.com for the most directly comparable financial measures and related reconciliations.
Dror Sharon: Okay. Thank you, Brett. I’d like to welcome everyone to our call and thank you for joining us today. I hope that your families and friends are all well and healthy. Magal Security finished 2020 with a solid third quarter that delivered 23% revenue growth, a strong balance sheet and record backlog of $64.3 million. The company’s performance in 2020, a year where we faced challenges due to the COVID-19 pandemic, reflects the strength of our global leadership team and their ability to pivot to productive and successful customer engagement across our vertical markets. The Magal Integrated Solutions sales led the revenue increase in the quarter due to the fulfillment of delayed orders. Fourth quarter gross margin was 40% and operating income increased 22%, helped by the higher gross margin and slightly lower operating expenses in the quarter. As a result, we delivered 14% EBITDA margin on par with the fourth quarter last year. Senstar’s fourth quarter revenue was $9.6 million, with 63% gross margin. The segment delivered 22% EBITDA, which demonstrates the operational strength of this business segment. Senstar backlog was $14.3 million in the quarter, up from $8.6 million at the time last year. Senstar’s business pipeline has historically been short cycle from purchase order to product of solution delivery, meaning we have begun the year with a lot of momentum. For the full year, we maintained EBITDA on par with last year at 9%, primarily due to the tight expense control throughout the year. After a one-time cash distribution to shareholders totaling $25 million in December 2020, we ended 2020 with $27 million of cash and cash equivalents and no debt. Shifting to an overview of the business, despite the COVID-19 challenges and disruptions in 2020, we saw success on numerous fronts. Last March, we appointed new division heads for the Magal Integration Solutions of Project division, Mr. Arnon Bram; and for Senstar, our Product division, Mr. Fabian Haubert. The new division heads did a great job leading their teams and delivering new business as evidenced by the sustained business and new accounts lending during the year.  We have a strong team in place. And in 2020, these executives showed their capabilities in difficult environment. With our global footprint, streamlined management structure and team members on the ground in strategic markets, we were able to pivot and continue our momentum. We saw good traction in our four focus verticals where we received many new purchase orders in the pipeline.
Kobi Vinokur: Thank you, Dror. Revenue for the fourth quarter of 2020 increased 23% to $29.2 million compared with revenue of $23.8 million in the fourth quarter of 2019. The increase in revenue was primarily due to the timing of the fulfillment of delayed orders from prior quarters. The geographic breakdown as a percentage of revenue for the fourth quarter was as following: Israel, 31% versus 18%; North America, 18% versus 24%; Latin America, 6% versus 4%; Europe, 23% versus 27%; Africa 15% versus 12%; Asia and the rest of the world, 7% versus 15%. The breakout between Magal’s Integrated Solutions and Senstar’s product revenue was 33% product and 67% projects in the quarter. As I mentioned, this quarter, the projects revenue included some catch-up order fulfillments from previous quarters. And as a result, the product versus project revenue mix was unusually biased towards projects. Revenue from Magal’s Integrated Solutions projects increased by 57% related while the Senstar product division decreased by 15% compared to the fourth quarter of 2019, primarily due to the weakness in COVID affected APAC and the EMEA regions. Fourth quarter gross profit was $11.7 million, or 40% gross margin versus gross profit of $11.4 million or 48% of revenue in the fourth quarter of 2019. The lower gross margin in the quarter was due to the sales mix with a larger percentage of revenue coming from the Integrated Solutions division. Our operating expenses were $8.2 million, a 3.6% reduction from the prior year’s fourth quarter operating expenses of $8.5 million. The reduction in operating expenses is attributable primarily to a lower R&D and selling and marketing expenses in the current period, which also benefited from governmental subsidies. Operating income was $3.5 million compared to $2.9 million in the fourth quarter of 2019. Operating income improved compared to the fourth quarter of 2019 due to the impact of the higher revenue and gross profit coupled with some improved operational efficiencies, primarily related to lower R&D and selling and marketing expenses in the current period.
Operator: Thank you.  Thank you, gentlemen, it appears we have no questions at this time. I would now like to turn the floor. I am sorry, we did get a question. Our question is from Mike Disler with  Holdings. Please proceed with your question.
Unidentified Analyst: Yes. Good afternoon, gentlemen. Thanks for taking the call again. Just a couple of quick questions. First, since Q1 seems to be in the books, I was just wondering if you can just comment, provide any comment on how first quarter looked?
Dror Sharon: Hi, Mike, it’s Dror. It’s a little bit too early to report anything about the quarter at this stage.
Unidentified Analyst: Okay, alright. No problem there. I understand the timing issue. And number two, I think, Kobi, you said something about keeping the large cash on the books, part of it as – obviously, for acquisition, part for dividends, which is the third item, which that’s – you’ve already done quite enough in December. But regarding the use of cash to hold your key employees, I think that was what you said like 2, 3 minutes ago. And my question would be , wouldn’t it be at least more prudent use of capital in terms of the balance sheet to incentivize those long-term key personnel that you wish to retain with options based on the performance of the price of the future Senstar spin out, whatever we call it, NewCo in the interim, rather than just a pure cash outlay to those folks so that they have the same incentive as the shareholders do?
Kobi Vinokur: Hi, Mike. It’s a combination. We do have an ESOP program, ESOP plan in the company. After the divestiture of the Project division, Magal, obviously, remains a public company, and we definitely have this tool to incentivize certain employees, our leadership to deliver results and benefit from the increase in the stock value.
Unidentified Analyst: No, go ahead. Sorry. No, I was aware of the plan. I just – on a go-forward basis, it seems to me that just further aligning those key personnel. I’m not talking necessarily C-suite, but the R&D folks, which are clearly going to be instrumental in driving revenue growth over the next 3 to 5 years. They are aligning their interest so that they remain and are captivated by the allure of building something bigger, better, stronger. That was the only thought there in terms of -- it’s great to put some cash on the table, but the next guy can just put up more cash, and if they have an incentive to stay by investing those options over time. And therefore, work hard to achieve those goals and accumulate personal satisfaction through a long-term mechanism in addition to the ESOP program that exists. That’s all I was getting at. And I think you’re on the right page there, so…
Kobi Vinokur: And Mike, your point is very valid. And actually, my reference in my comments also related to 2020 when as a company that does have cash on the balance sheet. We could actually afford to plan our actions during the pandemic and during the entire crisis, especially if you remember, of course, Q1 2020 with lots of uncertainty about the impact of the COVID-19 crisis. We could afford reaction, managerial action that first of all, targeted retaining our key technology, commercial, marketing, human capabilities, right? So, unlike probably other companies, our R&D teams, commercial teams basically remained unchanged. We didn’t take any – we could afford to do different stuff rather than say touching our employees, and we are very proud of it.
Unidentified Analyst: Yes. And I think you should be. My last – my closing comment was going to be that I thought the two of you and the entire team have done a superior job navigating a year and a quarter of potential decimation for a company the size of Magal, but the fact that you were able to not just stay afloat, but aggressively move forward, I think, is a real testament to your capabilities, and I’m proud to be a shareholder. I just thought I throw that out there as well. Finally, I look forward to some information, the update on your acquisition trials and tribulations. I’ll await the next conference call. Hopefully, there will be some positive news and keep up the good work. I thank you very much for your time.
Dror Sharon: Thanks. Thank you very much, Mike.
Unidentified Analyst: Okay.
Operator: Our next question comes from the line of Sal , a Private Investor. Please proceed with your question.
Unidentified Analyst: Good morning, gentlemen. Thanks for taking my call. Hey, I just had a quick question on the foreign tax that was withheld on the Magal dividend in December 2020. It was noted that there would be an instruction letter posted on the Magal website to see if one could qualify for an exemption or a lower tax rate. Can you give us an update on the status of that instruction letter?
Kobi Vinokur: Yes. So unfortunately, we are running some delay on this. Basically this instruction letter is subject to a ruling that is to be issued by the Israeli tax authorities with regards to the split of the distribution between dividends or profit distribution and capital reduction. And unfortunately, there were lots of delays on the Israeli tax authority side due to the – first it was multiple closures related to COVID and the holidays. We are pushing this very hard with our tax advisers. And we really hope that within the next month or so, we’ll have some direction there, and we could publish the letter to the shareholders with regards to the remaining part of the distribution.
Unidentified Analyst: Thank you very much.
Dror Sharon: You are welcome.
Operator: We have no further questions at this time. I would now like to turn the floor back over to management for closing comments.
Dror Sharon: Thank you, operator. On behalf of the management of Magal, we’d like to thank you for your continued interest and long-term support of our business. I look forward to updating you next quarter. Have a good day, and stay healthy. Bye.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.